Operator: Welcome to the Skyworks Solution’s first quarter fiscal year 2010 earnings call. At this time I would like to turn the conference over to Laura Aregas, Corporate Communications who is filling in for Tom Schiller.
Laura Aregas: Good afternoon everyone and welcome to Skyworks first fiscal quarter 2010 conference call. Joining me today are Dave Aldrich, our President and Chief Executive Officer, Don Palette, our Chief Financial Officer and Liam Griffin, our Senior Vice President of Sales and Marketing. Dave will begin today’s call with a business overview followed by Don’s financial review and outlook. We will then open the lines for your questions. Please note that our comments today will include statements relating to future results that are forward-looking statements as defined in the Private Securities Litigation Reform Act of 1995. Actual results may differ materially and adversely from those projected as a result of certain risks and uncertainties including but not limited to those noted in our earnings release and those detailed from time to time in our SEC filings. I would also like to remind everyone that the results and guidance we will discuss today are from our non-GAAP income statement consistent with the format we have used in the past. Please refer to our press release within the investor relations section of our company website for a complete reconciliation to GAAP. I will now turn the call over to Dave for his comments on the quarter.
David Aldrich: Welcome everyone. I’m pleased to report that 2010 is off to a solid start at Skyworks. In our first quarter of the fiscal year we delivered strong top and bottom line growth on both the sequential and a year over year basis, and at a higher level we believe these results are demonstrating our ongoing transformation to a high margin and a highly diversified analog company. Specifically in the first quarter we delivered revenue of $245 million. That’s up 17% sequentially year over year. We expanded our gross margins to 42.2%. We improved our year over year operating income by 83%, and we achieved a 21.3% operating margin and posted $0.27 of EPS. This is $0.02 better than our guidance. With respect to cash, we generated $53 million of cash flow from operations and we exited the quarter with $402 million of cash. Looking forward, we are guiding to a 30% year over year revenue growth in the seasonally low March quarter and we’re well positioned for accelerating EPS growth during the fiscal year. As we believe our results and outlook reflect, we are capitalizing on several key market drivers today. First is the exploding demand for mobile internet applications and always on connectivity, particularly given the increasing ubiquity of social networking, enterprise access, music and video applications. And this in turn is driving the broad proliferation of smart phones, net books, note books, caplets and other forms of embedded wireless devices. The second market trend is the increasing demand for custom analog solutions supporting a number of applications across a variety of non hand set markets including automotive, avionics, including wireless and wire line infrastructure, satellite, medical, military, industrial. And the third market trend is the rapid adoption of smart grid technologies as utilities and consumers alike seek to more efficiently measure and to manage their energy utilization. Now moving from these market tailwinds to Skyworks, strategically we continue to make substantial progress along each of the three core strategies we’ve shared with you over the last few years; namely, first to gain share in our targeted markets, second to diversify our business in increase traction in adjacent analog markets and third, to execute operationally to deliver ongoing margin expansion and higher returns on investment. With regards to gaining market share, Skyworks continues to consolidate share across the mobile internet spectrum. This covers everything from net books and data cards to smart phones and even entry level hand sets. On the high end, Skyworks is uniquely today supporting all five top tier hand set OEM’s and all key smart phone suppliers. I think a special note, I think last quarter we added several new android based platforms including Google’s recently launched Nexus One mobile phone. As we’ve discussed on many investor calls, this segment in particular has been a focal point for us given that we capture up to $8.00 per device and our technology addresses both system complexity and stringent performance requirements. With network rolling and maximum carrier flexibility in mind, we see a growing trend towards more band and as a result increasing addressable semiconductor content per platform. I think furthermore, we’re seeing a very successful smart phone food chain with service providers like AT&T, T-Mobile, Verizon, Vota Phone deriving highly profitable revenue streams from data service contracts and other embedded wireless devices. I think their strategy is very simple. Place application rich smart phones in the hands of the consumer and both parties benefit. Consumers satisfy their demand for real time mobile internet access while carriers gain from ever increasing ARPU levels. According to Piper Jaffray, an equity research firm, global smart phone sales will increase from around 139 million units in 2008 to nearly 400 million units in 2011 and presents a 42% compounded annual growth rate. So let me reiterate why we’re performing in the smart phone category and why we believe we will be the leading front end supplier in this segment. First, we’re able to meet our customer’s demand for size and cost. We deliver highly integrative solutions at both the chip and at the module level saving precious board space on ever shrinking form factors. In addition, we leverage our in house building blocks in scale to produce cost effective solutions that help decrease the hand set manufacturers overall billable material costs. Secondly, our deep understanding of system level requirements allows us to develop architectures with best in class specification that enhance the performance of our customer’s end solutions. In essence, since the very inception of Skyworks, we approach opportunities from a complete solutions perspective when engaging with our customers and chip set partners and rather than looking at it from a single device, or from a single component perspective, and this is why Skyworks was created way back in 2002. At the same time, we’re diversifying into new markets, the second element of our strategy. For example, during the quarter we secured a strategic design win with Wawway that leverages our custom amplifiers, mixers and discrete in a very highly integrated subsystem in support of their 3D Bay Station applications. In addition, we commenced volume production of 5 gigahertz low noise amplifiers targeting a diverse set of end markets. We launched a family of highly integrated CMOS switches with high isolation capability for the direct broadcast satellite market. We successfully ramped analog control devised for Intel’s wireless local area networking applications, and we extended our ISO TX 16949 automotive certification which allows us to further penetrate new markets. In addition, we have over the past couple of years made targeted investments in order to position ourselves very early to capture share in the smart grid market. By virtue of our very recent design wins, today Skyworks is servicing several multi-year advanced metering infrastructure contracts supporting a variety of U.S. and international utilities. Some of these include Southern California Edison, Center Point Energy, National Grid, the Southern Company, BTE Energy, San Diego Gas and Electric and British Gas. Of special note during the quarter we commenced volume production on several devices supporting Itron’s Open Way energy management solutions which provide outage and fault monitoring, surge protection, real time pricing and usage information. At a higher level, our approach to these targeted vertical applications is to service the needs where the focus is on portability, mobility, current consumption or signal and data integrity. These are the challenges our linear technology is ideally suited to solve. Finally, the third element of our strategy is to execute operationally. Our progress on this front I think is best exemplified by our first quarter’s performance with operating margin of 21.3%. Don will discuss this in more details and discuss the specifics regarding our medium term plans to drive the business into the mid 20’s operating margin range. In summary, we’re transforming Skyworks. We’re creating a company that can rival some of the best analog stalwarts in terms of growth, diversification, profitability and cash generation. Perhaps most importantly, we’re entering this new and exciting phase with a rich product pipeline, a broad sales channel and demonstrated operational agility, all positioning us to create greater competitive advantages and to continue to create shareholder value. I’ll not turn this over to Don for his comments.
Donald Palette: Thanks for joining us everyone. We appreciate that. First I will provide you with a quick summary of our first fiscal quarter results and then we’ll discuss our business outlook. Revenue for the period was $245.1 million, up 17% year over year and surpassing our guidance range of $238 million to $242 million. Gross profit was $103.5 million or 42.2% of revenue, a 130 basis point sequential expansion which was driven by a richly diversified product mix, volume ramp of margin accretive new products, continued factory process and productivity enhancements, product and end yield improvements and double digit year over year material cost reductions. Operating expenses were $51.3 million of which R&D was $30 million and SG&A was $21.3 million, yielding $52.3 million of operating income and a 21.3% operating margin. Our net interest and other expense for the quarter was $700,000 expense while taxes were $3.9 million. As a result, our net income was $47.7 million or $0.27 of diluted earnings per share. Turning to the balance sheet, we exited the quarter with cash and cash equivalents of $402 million. During the quarter we generated $53 million in cash flow from operations. We recorded $11 million of depreciation, retired $5 million of convertible debt and invested $15 million in capital expenditures. Now, to our business outlook; based on broad based business strengths and new applications, we anticipate 30% year over year revenue growth for the second fiscal quarter. Specifically, we expect revenue of $225 million, significantly better than normal seasonality for the March quarter; gross margin between 41% and 41.5%, operating expenses of approximately $52 million, $700,000 of other expense and an 8% cash tax rate. In turn, assuming 182 million fully diluted shares, we are forecasting diluted earnings per share of $0.21 which represents a 75% year over year improvement in bottom line profitability. Now let me take a moment to discuss our medium term financial targets. Given our top line growth plans, scale, product gross margin improvements, and operating expense leverage, we now have a path to operating margins in the mid 20’s on revenues in the range of $280 million to $300 million. To help define the key elements of this revised model, we anticipate that approximately 4$0.45 to $0.50 of incremental revenue will drop through the gross and operating margins with the balance of the model return improvements deriving from operating expense leverage. We believe this model is highly achievable and strikes the right balance between gaining market share, enhancing margins and most importantly, maximizing our return on invested capital. That concludes our prepared remarks and so operator you can open the lines up for questions.
Operator: (Operator Instructions) Your first question comes from Attai Kidron – Oppenheimer.
Attai Kidron – Oppenheimer: Congratulations on a good quarter. I wanted to drill a little bit into your guidance. Last time you gave a model target. You achieved it in the year that you provided that guidance. Should we make the same assumption on your most current operating margin guidance target?
Donald Palette: We’re obviously not guiding beyond current quarter but I think the way to think of it is this is a highly medium term model and we look at 2010 as having all the significant growth potential. Our serve markets are growing and we believe we’re well positioned to win share.
Attai Kidron – Oppenheimer: Share gains have been a big part of the story over the past year. Clearly you’ve made a lot of great progress in that area. I guess the question is, where do you feel you stand right now with regards to more opportunities like this. You’ve gained a lot. Where else is there for you to go and if you can be a little bit more specific on that front, I’m just trying to get a better gauge whether your growth this year is just a little bit more weighted towards TAM expansion rather than share gains as a driver.
David Aldrich: That’s a broad question. We see opportunities in 3G where in some segments we’re under weighted and our newest solutions and reference design partnerships are allowing us to gain traction. We think about Korea for example. We also with respect to Nokia are moving from the high end into their mid term mainstream market as we speak. I think that’s an important driver for us. We’re gaining more content where the smart phone architectures are moving toward to less discrete front end and more integrated if you will front end solutions where we are moving in a pretty fast rate from servicing a portion of that front end to more and more and ultimately all in many platforms. So we’re going to take share in smart phone. I think in terms of the secular trend, the hand set market is going to grow in the 8% to 10% range on a compounded basis. Our addressable market as there are more smart phones, more 3G, more bands, more filtering and switching complexity, at an 8% to 10% unit growth rate, our serviceable portion of that market is growing at roughly double that as we calculate it. So we believe we are addressing a market that’s growing in the 17% component growth rate where we can move our share dial pretty significantly in the areas I described.
Operator: Your next question comes from Uche Orji – UBS.
Uche Orji – UBS: I just wanted to drill down on your guidance for the March quarter. How much of that March quarter revenue number is fueled by the backlog and also I see that your inventory has gone up significantly, so just wondering if this inventory is building in anticipation of higher revenue or how do you explain that?
David Aldrich: The question as to how booked we are, if we take our current firm backlog and the forecast from our hub customers, we’re over 90% booked which is a good place for us to be in on this guidance, so we’re very comfortable the guidance is conservative. With respect to inventory, Don perhaps you could answer that.
Donald Palette: The inventory actually was up at the end of this quarter $12 million from the prior quarter and what you’re seeing there is it’s all a function of customer requirement dates for shipments. We have a high percentage of those early in the quarter, higher than normal, so we’ve got the inventory build that reflects that. The one thing to keep in mind, our velocity as far as turns, that’s how we measure inventory velocity, was above six for Q1. So again the inventory turns are very healthy and it’s really just a question of timing of customer demand. Nothing else.
Uche Orji – UBS: About your gross margin, if you could explain to me, as we go down from December to the March quarter, the difference in the gross margin is basically driven by revenue or is there any other factor that is leading to a lower gross margin in the March quarter?
Donald Palette: It’s strictly volume. All manufacturing companies have a fixed component of costs and that big of a revenue change does drive some margin pressure. That’s all you’re seeing. Nothing else unusual at all.
Operator: Your next question comes from Alex Gauna – JMP Securities.
Alex Gauna – JMP Securities: A point of clarification here, I was wondering, you mentioned the 17% compounded annual growth rate potential for your addressable markets. I’m assuming that this doesn’t include your potential for share gains. Is that correct?
David Aldrich: That’s correct. By the way, I need to point out that’s just in the handset sector. We have our smart grid business is growing faster than that. We have linear product markets that are growing faster than that. The 17% is, all it’s really doing is weighting the movement of the unit volume more toward 3G and smart phones where we have a higher addressable content and less towards 2G where the dollar content is lower. So I’m simply weighting the average dollar content of what we can address in more complex products versus less complex products and that 17% assumes ASP erosion as well. So that’s after ASP erosion.
Alex Gauna – JMP Securities: And you touched on my follow on which is in regard to smart grid here. Pretty impressive array of engagements here. Can you give us an idea of the timetable for this, the magnitude and it seems like you’re giving a little bit more visibility than most of your wireless peers. Do you feel like you’ve got a first mover advantage in this market or share advantage at this point?
Liam Griffin: We did invest early in that sector as Dave outlined in the opening comments and we still believe that as much as we’ve enabled some great design wins with a number of players, it’s still very, very early in what we believe to be a multi-year cycle. So we’re well positioned for this. There are a number of products that we are selling to a variety of customers. We take advantage of the DNA that we’ve developed in mobile internet. We’re selling discrete components, integrated components and we enjoy a very good position. But it’s early, and we think there is quite a bit of growth ahead.
Operator: Your next question comes from Stephen Ferranti – Stephens Inc.
Stephen Ferranti – Stephens Inc.: Just a follow up to the prior question, Liam you mentioned that we’re early on in the smart grid opportunity playing out. Does the fact that you’re talking about now commencing volume production; does that imply any sort of acceleration perhaps in the growth in calendar year ’10?
Liam Griffin: Absolutely. In calendar year it will be a very good year for energy management business. The last several quarters have all been up sequentially. We will be up again in the March quarter. It’s just a matter of timing in terms of how these ramps roll out, how these utilities adopt the technology. We’re certainly trying to attract more and more end customers, but it will be a material growth driver for the non hand set portfolio in 2010.
Stephen Ferranti – Stephens Inc.: Your guidance implies sequential decline of only 8% which is I believe is less than the historic norm. Do you think that is a reflection of the fact that you’re picking up share or do you think that maybe the end markets are just down less than what’s seasonally normal.
David Aldrich: We’re assuming I guess one might say conservatively that the March seasonality will be down. It will be down normal levels which will be in the 10% to 15% range. Our guidance is better than that and we think we’ve outlined pretty conservative guidelines in guidance based upon backlog position and based upon some known program ramps where we have very high visibility. We’re ramping into production. It’s based on the mix of our business that in the March quarter we get much less seasonality from our linear products business and in these targeted vertical applications as Liam mentioned. Smart grid won’t be down in the March quarter. So I think it’s a combination of all of those things.
Operator: Your next question comes from Edward Snyder – Charter Equity Research.
Edward Snyder – Charter Equity Research: Your margin profile that you described here, sustaining these gross margins seems to be occurring even without a huge increase in your linear business or share gains in your linear business relative to the hand set side of it and it’s always been the case that the margins on those gross margins are significantly better than your hand set margin. Is that still the case? Is linear still doing better than the handsets? And what can we expect over the next year or so? Should we expect to see that break above the 25% of revenue for the firm or is it going to grow because you’re doing so well in the hand set side of the business, is it going to continue to be around the 20% mark? And if you could, tell us what it was this quarter.
David Aldrich: The model that Don described assumes that we have the same relative split between non hand set and hand set, linear products and hand sets. And while we have some, we talked about this a lot on calls in the past where at one time we had a growth in the hand set business expectation and we had sort of a catalog standard, particularly in the catalog business where we felt that while that was a great mix in terms of volatility and less volatility obviously and more profitability, we really wanted to step up our ability to go in very surgically with these targeted verticals and create fewer singles and more doubles and triples, to use a baseball analogy. We think we’re finally, it takes a long time to do that. You have to build your marketing team, your applications knowledge so that you’re not throwing spaghetti at the wall. We’re getting much better. Our hit rate is improving. So it’s a long way of saying the model assumes a similar split. I’m optimistic that over the medium term, over the long term in this company you’re going to see us grow that business faster, but the model is not dependant on it.
Donald Palette: The hand sets were again in the mid to high 70% range just like you’ve seen over the past year.
Edward Snyder – Charter Equity Research: There’s been a lot of chatter about the mix shift for you from more of the low end stuff into China, maybe losing a little bit of share to competitors to taking a lot more share in the smart phone and that the larger hand set OEM. Doe that trend continue on the quarter? And then six inches, you’ve moved to six inch fab in the spring I guess full on or ramping it. Will that have an impact on gross margin? Is that a big part of your gross margin story for the year or can you quantify that?
Donald Palette: The six inch is consistent with what we communicated in prior quarters but we’ve been producing both four and six inch over the past several quarters as we’re ramping the new line. The full cut over will be complete at the end of this quarter and certainly when it’s fully utilized, it’s an important lever for us to increase internal capacity and expand gross margin. So it is part of the equation, the new business model formula. We haven’t quantified the exact impact and it will occur gradually over time as volume ramps.
David Aldrich: With respect to the China business, I’m not really sure where the comment that we’re losing share in China is coming from. We acquired Axiom a short time ago and that business is doing what we expected it to do. It’s allowing us to address the ultra low end and that’s going quite well. Our partnership with Media Tech is strong. We were very strong in the December quarter. And in addition, we’re moving from fewer of the commoditized pans, a gas chip in a box, and more of our going forward solutions are going to be customized front end solutions. We think we’re adding more of a differential advantage. So the shares move around. That market is sometimes difficult to get a bead on. There have been share shifts in that sector but we haven’t been a net loser on that. Our share is very strong.
Operator: Your next question comes from Suji De Silva – Kaufman Brothers.
Suji De Silva – Kaufman Brothers: I think you talked about some visibility to share gains in the coming quarter helping you over seasonality. Is that something you see continuing for the next few quarters or does it tail off at some point, that visibility from program ramps?
David Aldrich: It’s doesn’t tail off. It only tails off if your program ramps tail off and March is typically a slow quarter on the hand set side but the design activity I must say is just being driven through the roof. The number of new designs going through our characterization and qualification process, our AT, our sampling line is running 24/7. I think we doubled the number of new designs here in the last six to nine months versus the prior six to nine months. It’s really eating up multi-mode if you will or multi-band complex front end solutions is driving a lot of these linear products; low noise amplifiers, some complicated linear products devices. So I think you should look for ongoing share consolidation within our hand set business simply because the complexity is becoming more and more difficult for component suppliers to address. You’re seeing a few discrete switches, a few discrete PA’s, fewer and fewer of them in favor of a system approach that allows for miniaturization that’s shielded, high performance. I think that trend will not stop and we expect to be a beneficiary of that.
Suji De Silva – Kaufman Brothers: Along those lines, it sounds like you have a scenario where you have big growth. Where is the mix of your revenues now 3G versus non 3G and how that’s tracking.
Donald Palette: We were roughly 50% 2G, 50% 3G this quarter which is where we’ve been over the past several quarters. That’s dollars not units.
Operator: Your next question comes from Richard Shannon – Northland Securities.
Richard Shannon – Northland Securities: I have just one question on the topic of the Wi-Fi or wireless link. You referred to in your initial comments regarding your analog control devices with Intel’s wireless land business. I’m curious what kind of magnitude, what kind of a ramp we should see in that business. The second part of that question is what is your visibility into getting any sort of power amp wins with that particular customer and third, what’s your viewpoint on Wi-Fi and the hand sets in 2010? Is that going to be a product area of interest for you?
David Aldrich: With respect to Wi-Fi in general, we actually are doing quite well in that space. We have a number of customers; some in the PC OEM market, net book market, also some chip set partners like Broadcom that we work with. The Intel business is actually notable for us because we are now in that account for the first time, so it’s early engagement. There is a lot of blue sky within Intel. Today the business that we have is around CMOS switches for wireless land applications. We think there’s clearly opportunity for us to bring that up with L&A’s and power amplifiers and really gain some content. So first of all, we think the Wi-Fi space is really important for us. We’ve had that business for awhile. Intel is new. With respect to the broader attachment in hand sets I’m quite bullish on that. If you look at smart phones for example, virtually all of smart phones today carry Wi-Fi connectivity. We think attachments going into 2012, 2015 could be as much as 30% to 40% of the overall hand set market so it will be a big segment for wireless.
Richard Shannon – Northland Securities: Is Wi-Fi and hand sets even the material part of your business at this point or is this an account where it’s very early on in that curve.
David Aldrich: It’s actually most of our revenue in Wi-Fi today is in the laptop/net book space, but we have some customers who will be going into production on the hand set side by the middle of the year.
Operator: Your next question comes from Craig Ellis – Caris & Company.
Craig Ellis – Caris & Company: Can you just help us understand on the gross margin strength in the quarter, which of the factors that you identified were responsible for driving the upside to initial guidance?
Donald Palette: It was a combination of everything we discussed. It wasn’t any one specific item. It’s something we continue to focus on. We’re very margin improvement focused. It’s execution. Its product yield improvements. It’s factory productivity. It’s managing the cost base and it’s volume upside. All those things contributed to the overall margin expansion. One of the things that we believe gives us a cost advantage is the whole fab life model that we deploy and we continue to leverage that, and striking the right balance between internal and external capacity also gives us cost and margin improvements.
David Aldrich: We also see some of the programs we identified in our prepared comments many of these programs have higher contribution margins and ultimately result in higher gross margins. So we thing over time as we achieve this medium model we talked about, it will be partially because of all the things that Don said. We’re also seeing a shift in our overall business towards more margin rich products over time.
Craig Ellis – Caris & Company: Just thinking about the first quarter, it seems like mix would become even more margin accretive for the company. Obviously volume is a headwind, but are there any other headwinds besides volume as we think about the first calendar quarter?
Donald Palette: No.
Operator: Your next question comes from Sanjay Devgan – Morgan Stanley.
Sanjay Devgan – Morgan Stanley: I had a question following up on the path to the mid 20’s operating margin that the $280 million to $300 million in revenue, is it fair to assume that at that rate gross margins will have to trend the mid 40’s and if that’s the case, is it more a case of volumes driving that since you’ll be at the $280 million to $300 million or is it more a matter of the operational improvements from the four inch to six inch fab conversion?
Donald Palette: The way we position the model is we give you the ability to take the revenue changes and run them at these different contribution levels and get a feel for where the margins are. So yes, the margins will start tracking towards the mid 45. That’s absolutely the case. And it’s going to be driven by the volume. Increased volume is absolutely going to drive benefit. We’ve got the new products Dave described, higher dollar content, some of these new linear product markets that we’re serving and the six inch ramp, and also, just continually focusing on design for cost and operational efficiencies in the factories. All those things are going to contribute to expanding the margins.
Sanjay Devgan – Morgan Stanley: You mentioned the initial ramp into Itron’s Open Way energy management module. As we look at remote metering or smart metering in general, as that business picks up this year and given the number of engagements you have, as a percentage of your revenue, how meaningful without getting too detailed, I guess if you just give some kind of qualitative insights, how meaningful do you think that business will be by the end of the year?
David Aldrich: As we mentioned earlier, today within our non hand set portfolio it is the largest growth driver in 2010. We think by mid year, end of the year, you’ll be approaching potentially 20% of the non hand set business. From there it just really depends on how the company grows and how the rest of our linear businesses grow, but it will be a material driver. And we have good visibility. We have a suite of customers. Itron will be one of our more significant ones; also customers internationally. Then again, we’ve got some great macro tailwinds; government stimulus money, energy conservationists all want to be part of it so I think there’s good long term potential.
Donald Palette: As we talked about the early mover advantage, one of the things that we’ve done, we’ve created really specialized custom fairly integrated solutions. So the competition isn’t so much with somebody doing what we’re doing, but the competition is with a less efficient, more costly larger board space requirement with discrete design. So these are custom solutions and they just work and play better in these applications so there is a real differentiated product set here for us that will be difficult for the RF competitors to match.
Operator: Your next question comes from Aalok Shaw – D.A. Davidson & Co.
Aalok Shaw – D.A. Davidson & Co.: Could you just remind me of who the 10% customers in this quarter?
Donald Palette: We had one 10% customer this quarter. It was Samsung. Several of the customers were in the high single digits as we’ve seen in previous quarters but I think the important point to think of when you look at our results, we achieved $245 million in Q1 revenue and we did this with only one 10% customer. I really think the take away, that’s just a real true testament to our overall diversification, how well we’re executing on that strategy.
Aalok Shaw – D.A. Davidson & Co.: Along those same lines, I know you talked about Nokia in the past and you’ve mentioned it. I’m sure they’re a high percentage of revenue this quarter, but can you give us the status of where you think you are with Nokia and how we should be thinking about Nokia going through this year?
David Aldrich: Nokia of course represents great potential for Skyworks. We are engaged with that customer fully. Having said that, our revenues today are well below 10%. We think we have our sights and their sights set on material growth over the next several years. We’re moving from 3G to Edge and eventually even some of their GPS platforms. So we feel very positive about that, but again we’re nowhere near where our capabilities could lead us here.
Operator: Your next question comes from Anthony Stoss – Craig-Hallum Capital.
Anthony Stoss – Craig-Hallum Capital: Inventory levels in the channel, I’d love to hear your thoughts on that and are you seeing any pricing pressures? And for Don, your view on 2010 tax rates.
David Aldrich: Inventory right now looks actually quite balanced. There’s always going to be a few pockets where maybe a distributor or some hub inventories floating around. We feel pretty good. Last quarter was very well balanced. Entering this quarter backlog looks pretty good so we don’t see any trouble or any alarms with inventory. And pricing so far looks actually quite stable, so we’re not alarmed by pricing and we’re not concerned about that going into the new year.
Donald Palette: On the tax rate, we’re looking at, and this is consistent with what we guided prior quarter is right now for 2010 we have about $90 million of NOL that we’re going to be able to deploy this year. So that’s providing us with an 8% cash tax rate. And we talked about an estimate for next year. I just want to give a little color on that. We’ve got several key tax initiatives that we’re working on as we speak. One of those will be deployed in the second half of the year, the other for fiscal 2011 and what that’s going to allow us to do is we believe deliver a cash tax rate next year of roughly 12%. We’ve got a lot of focus in this area and we think this is going to put us in a very competitive tax position.
Operator: Your next question comes from Todd Koffman – Raymond James.
Todd Koffman – Raymond James: You commented in your prepared remarks about the higher content in these new smart phones. You threw out the $8.00 number. Is there a trend within the new smart phone designs coming on the market to source all of the PA’s from a single supplier or is it a mix and match so that if you call out a design win chances are somebody else has got the same design win as well.
David Aldrich: I think clearly what you’re describing, the later half of what you just described has been the case because a lot of these newer smart phone, these entrance weren’t phone manufacturers and they followed a pretty strict reference design approach and those references design approach had a lot of discrete content on them. If you notice some of the larger cellular OEM’s are really driving more chip level and package level integration, and that over time in our experience has always tended to migrate toward more integration not less – always over time. I think these newer products and platforms we’re seeing are working very closely not only with our smart phone OEM’s but with our base band partners are becoming much higher levels of integration, much more thought early on in the development of the base band solution themselves, and much harder to extract a component from it. That’s why my comment for example that there are a couple of suppliers who are always very big on selling discrete switches. I think those discrete switches will be incorporated into models either into a switch module or a front end PA transmit chain, and I think that’s just a fact and it won’t end. Now reference designs will have some mix and match approaches because they’re obvious desire is to have continuity of supply and so on so there’s kind of this pull from the customers to give them more integration and of course the base band folks want a competitive solution but they also don’t want to be beholden to one component company and I understand that. So over time there will be a trend in one direction which is more integration, more winner takes all, more customization, fewer component opportunities for discrete providers.
Operator: Your next question comes from Tore Svanberg – Thomas Weisel Partners.
Tore Svanberg – Thomas Weisel Partners: Just based on your March quarter guidance will your hand set business also be better than seasonal or is it more that that will be more in line with seasonality and the better results driven by linear and smart grid.
David Aldrich: We believe that the hand set business will be somewhat better than seasonality and we’re basing that on backlog. So March quarter is always a seasonally down quarter and there’s a lot of material that moves at the end of the December quarter so that kind of needs to be digested if you will and understood and in the channels we’re in the process of doing that. But the assumption is that we would get less seasonality obviously in our linear products business and hand sets would be somewhat better than seasonal and of course we attempted to be quite conservative as we usually do with our guidance.
Tore Svanberg – Thomas Weisel Partners: You mentioned a pretty important win for 3G infrastructure in China. Can you add some color there? Is that a market that you expect to do quite well in in 2010? I realize that it’s the beginning ramp for you but help us understand a little bit more when we could potentially see some bigger ramps from that program in 2010.
David Aldrich: We absolutely believe that China infrastructure can be very important for us so we are seeing some traction with the TV companies. We think that they are net share gainers today globally and we have some very custom engines here that bring into account our mixers, synthesizers, products that are margin rich, highly customized and performance driven. So there will be movement in the right direction off of that and we think over the next few years they could be very significant accounts for us.
Operator: This concludes the Q&A session. I’d like to turn the call to Dave Aldrich for closing comments.